Operator: Good morning, and welcome to the Newmont Mining 2016 Third Quarter Earnings Conference Call. All lines will be on a listen-only mode until we open for questions and answers. Today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'd now like to turn the call over now to Meredith Bandy, Vice President, Investor Relations. You may begin.
Meredith H. Bandy - Newmont Mining Corp.: Good morning, everyone, and welcome to Newmont's third quarter earnings conference call. Joining us today are Gary Goldberg, our President and Chief Executive Officer; Laurie Brlas, our Chief Financial Officer; and Tom Palmer, our Chief Operating Officer. With that, I'll turn it over to Gary.
Gary J. Goldberg - Newmont Mining Corp.: Thank you for joining us this morning. Our team delivered another strong quarter by executing our strategy, which is to improve the underlying business, strengthen the portfolio and create value for shareholders. Before we get into the details, I want to cover some news. First, we're welcoming Nancy Buese to the Newmont team as our new Executive Vice President and Chief Financial Officer beginning October 31. Nancy is an accomplished finance leader with extensive experience in the natural resources sector and most recently served as Executive Vice President and CFO for MPLX, a publicly-traded energy company with $6 billion in revenues. Prior to that, she was CFO from MarkWest Energy Partners, a publicly-traded midstream energy company whose valuation grew from $50 million to $16 billion during her 11-year tenure. I'd like to thank Laurie Brlas for her many contributions to Newmont. Laurie is retiring to focus on her board assignments and spend more time with family. She'll remain with us through the end of the year to ensure a smooth and orderly transition. Since Laurie joined Newmont, we've lowered net debt significantly and earned the gold sector's best credit rating. The second news update, I'm pleased to announce increased dividends in the fourth quarter as a result of higher gold prices, and beginning in 2017, through our enhanced dividend policy. We're also putting strong free cash flow to good use by retiring more debt, and we announced this morning a $500 million debt tender. Third, I want to recognize our team in Suriname for delivering Merian into commercial production safely, on schedule and more than $150 million under budget. Finally, I'll point out that Batu Hijau was classified as an asset held for sale and reported as a discontinued operation in our third quarter and prior period financial results. Turning to slide 2, please take a moment to review our cautionary statement before we turn to Newmont's performance for the quarter on slide 3. We continue to improve the business by lowering total injury rates by 12% compared to the prior-year quarter, keeping all-in sustaining costs at $925 per ounce, slightly higher than last year, but still in line with our 2016 guidance, and increasing gold production by 3% to 1.25 million ounces. Portfolio improvements for the third quarter included completing Merian on schedule and $150 million below budget, and advancing Long Canyon, where we expect the first pour gold next month or about two months ahead of schedule. We also continue to generate more value by increasing free cash flow by more than 50% over the prior-year quarter to $240 million, improving adjusted EBITDA by 30% to $666 million, lowering our net debt by another 13% and, most importantly, doubling our fourth quarter dividend and significantly enhancing our policy for 2017. This performance is underpinned by superior safety and sustainability. Turning to slide 4, sending people home safely everyday is a matter of principle, and a great indicator of how well our operations are running. We've reduced our injury rates by 54% since 2012. We're also honored to be named the Mining Sector's Top Performer in the Dow Jones Sustainability Index for the second year in the row. One of the standout performances for the quarter was at Merian, where the team has worked for five consecutive months without an injury, which is an exceptional record for an operation that's in transition. Turning to slide 5, for more on that transition, we poured first gold and achieved commercial production at Merian on October 1. Our newest operation gives us a foothold in a prospective gold district and will deliver more than a decade profitable production. Merian also showcases our work to optimize projects and build them on schedule and budget, as well as our successful exploration program. Over the last decade, our geologists have grown Merian from a maiden resource of a couple of hundred thousand ounces to a reserve and resource base of 4.5 million ounces. And we continue to see strong exploration results beneath and near the current mine. Turning to Long Canyon on slide 6, construction is nearly complete and we began placing ore in the leach pad in April. We're confident that we will reach commercial production next month. We optimized this project by building a leach facility instead of a mill, relying on refurbished gear versus new gear and leveraging regional staff and infrastructure. Long Canyon's internal rate of return at a $1,200 gold prize is in the high teens. Here too, we've grown the reserve base to 1.2 million ounces by the drill bit, and mineralization remains open in all directions. Moving to the full portfolio on slide 7, even after removing Batu Hijau, we've lowered our all-in sustaining costs by 22% since 2012. Nearly two-thirds of these savings are the result of cost and efficiency improvements. While our third quarter costs were slightly higher due to inventory changes and ongoing investment in growth, we remain on track to meet our improved 2016 outlook. Year-to-date gold production of 3.6 million ounces is on track to meet guidance of between 4.8 million ounces and 5.0 million ounces. Key drivers for the quarter included new production at Cripple Creek & Victor, improved throughput at Boddington and KCGM, and strong performance at Carlin and Ahafo. Year-to-date, all-in sustaining costs of $910 per ounce are on track to meet guidance of between $870 per ounce and $930 per ounce. During the third quarter, lower capital expenditures offset higher costs from inventory changes at Yanacocha and Ahafo. With higher production, lower capital, and an improved gold price, we are on track to generate strong free cash flow in 2016. We look forward to sharing our refreshed five-year outlook in the first quarter of 2017. It will reflect effective execution of our strategy and feature steady gold production as new ounces offset asset sales, costs that align with previous guidance, and our ongoing investment in core assets and projects, and capital costs that demonstrate both continuous improvement and continued growth. Turning to slide 8, we positioned ourselves to invest in growth during the downturn and have benefited from lower competition for construction resources and equipment. As a result, we've been able to self-fund five projects that will add about 1 million ounces of gold at average all-in sustaining costs of less than $700 per ounce over the next two years. By advancing our best projects on time and at or below budget, we've also been able to achieve competitive returns. All of our projects provide internal rates of return in excess of 15%. I'll turn now to slide 9 for a brief update on the pending sale of our stake in Batu Hijau. We expect to complete the sale during the fourth quarter and are making good progress. This includes receiving required approvals from the government of Indonesia, our buyer receiving shareholder approval for the transaction, and resolving certain tax matters pertaining to the sale. Outstanding conditions include concurrent closure of the sale of PTMDB's stake in PTNNT, a valid export license at closing, the current export permit is valid through the 22nd of November and no material adverse events. With that, I'll turn it over to Laurie.
Mary Lauren Brlas - Newmont Mining Corp.: Thanks, Gary, and good morning, everyone. I'm pleased to report that we delivered another great quarter with some exceptional financial results. I also want to thank Gary and the board and everyone at Newmont for their support over the last three years. It's been wonderful to be part of the transformation here, and I feel very confident that Newmont is in good shape and in good hands, and I look forward to watching the next chapter unfold. Now, before I get into the reconciliation of GAAP earnings, I want to comment on the accounting treatment of PTNNT. As Gary mentioned, we've made good progress in meeting the conditions precedent for the sale. And as a result, we've met the conditions for held-for-sale accounting, and we are now treating this as a discontinued operation. That means that all P&L line items are collapsed and appear in discontinued operations. Balance sheet items are collapsed and appear as assets or liabilities held for sale. You will see this is the case for all periods included in our SEC filings as well as in the press release. As we had indicated would happen, with this change, we did record the expected loss. So, with that, let's look at the reconciliation on this slide. GAAP earnings per share is a loss of $0.67. It includes a $577 million non-cash loss related to this reclassification of Batu Hijau as an asset held for sale. We also adjusted for our other discontinued operations and Batu Hijau earnings for the quarter of $0.13. Net income attributable to Newmont shareholders from continuing operations is then $0.32 per share. The primary adjustments to net income were a $0.03 per share revision related to the La Quinua leach pad due to changes in expected recoveries from re-leaching pad and $0.03 per share in other minor adjustments. The net result was adjusted net income of $0.38 per share, an increase of $0.25 over the prior-year quarter. Now, turning to slide 11, for a look at our third quarter financial performance, increased sales volume, along with higher gold price, enabled us to improve our revenue to $1.8 billion, up 15% from the prior-year quarter. Adjusted net income was almost tripled compared to the prior year and adjusted EBITDA increased by 30% to $666 million. Free cash flow also improved during the quarter by 51% to $240 million, benefiting from higher gold pricing and lower CapEx. Strong free cash flow enables the company to continue to advance our capital priorities to fund profitable growth, repay debt and return cash to our shareholders. Gary talked about the efforts to fund the growth. And yesterday and today, we announced move to act on the other priorities. This morning, we announced the $500 million debt tender, targeting our 2019 and 2022 debt towers. Year-to-date, we've paid down $1.1 billion in debt, including $330 million on PTNNT's credit facility. With the total of $1.6 billion, this tender puts us well ahead of our goal to reduce gross debt by up to $1.3 billion by 2018. After completion of this debt tender, we will have reduced our interest expense, and our debt schedule is clearly very manageable. Turning to net debt, we continue to target a net debt-to-EBITDA ratio of about 1 time at $1,200 gold. As you can see on this slide, we are well below our competitors on this metric. The quarter-end net debt to EBITDA of 1.1 times is assuming the proceeds from the sale of Batu Hijau to create a consistent comparison as the PTNNT EBITDA is excluded given the accounting treatment. We see potential for this metric to drop even further in the near term with the ramp-up of Merian, Long Canyon and CC&V. Reducing our net debt provides flexibility going forward and paying down gross debt reduces our interest expense. So, we focus on a balance of the two efforts. Now, I'd like to spend a few moments on the new dividend policy on slide 13. Yesterday, we announced that the fourth quarter dividend will double based on the average gold price achieved during the third quarter, in line with our previous dividend policy. We also announced an enhanced gold price-linked dividend policy starting in the first quarter of 2017. The new policy increases the annual payout levels to provide additional upside to shareholders as gold prices increase. In addition, because of our confidence in our ability to generate free cash flow at lower gold prices, we have also increased the payout at lower levels. At current spot pricing of $1,270 per ounce, the expected first quarter dividend would be $0.075 per share, triple the prior-year quarter dividend. The enhanced dividend policy reflects our capital allocation priorities detailed on slide 14. On this slide, you can see the primary sources and uses of cash year-to-date and how we apply them to deliver on our capital priorities. Year-to-date cash flow from operating activities of continuing operation totaled over $1.3 billion, which we've deployed to fund profitable growth. We continue to self-fund our projects. About half of our capital expenditures to-date were used to develop projects at Merian, Long Canyon, Tanami and CC&V. And repay debt, we've repaid nearly $800 million of corporate debt so far this year. The majority of that debt was paid early, lowering our future interest costs and highlighting our comfort level for future cash generation. And returning cash to shareholders, as I've already mentioned, our recently announced dividend was double the previous quarter and we announced the enhanced dividend policy, which will pay out at higher levels across all cycles. With that, we ended the quarter with over $2 billion in consolidated cash. The addition of the proceeds from the sale of Batu Hijau will bring that to nearly $3 billion. And with that, I'll hand it over to Tom to talk about the operational results.
Tom Palmer - Newmont Mining Corp.: Thanks, Laurie. We continue to deliver strong operating performance in the third quarter, most notably lowering injury rates by 12% and working without injury at Tanami and Merian, producing slightly more gold as increases at Cripple Creek & Victor, Carlin, and Boddington more than offset decline in production at Yanacocha; and maintaining capital discipline and delivering efficiency gains at our operations and projects. Our cost performance for the quarter was impacted by some accounting charges, including a write-down on the La Quinua leach pad in Peru and inventory draw-downs in Africa; and some operational changes, including low-grade, deep transitional ores at Yanacocha and a geotechnical event at Silverstar, one of our Carlin's surface mines. Turning to our regional performance on slide 16, as Gary mentioned, we're commissioning Phase 1 of Long Canyon. We added cyanide to the leach pad last week and we shipped carbon to Carlin for stripping and produce first gold next month. Studies to pave the way to develop Phase 2 of Long Canyon are also underway. We've completed the Cripple Creek & Victor expansion. The mill is producing as expected and ramp-up of our new valley leach facility and recovery plant is progressing on course. And this performance keeps us on track to meet our investment case. Finally, we're extending out Exodus portal mine to the Northwest. Work to install arrays and some ventilation equipment is underway. And this project will reach full production in 2018. The slip at the Silverstar mine in the Carlin North area will impact fourth quarter product. Fortunately, we were monitoring the wall and had evacuated people and equipment well ahead of the slip. As context, mining at Silverstar is expected to end this year. So, there is no impact to longer-term production or costs. We're making good progress at Leeville underground, where we fine-tuned our ground control plans and developed special roof bolts designed for the prevailing conditions. We've also changed our mining methods in some areas of the mine to address this challenge. And lastly, Andrew Woodley, an experienced mining leader, would join the Newmont team on January 2 to run our North American business. Turning to South America on slide 17, Gary and I were in Suriname two weeks ago to congratulate the team shortly after they first poured the first gold at Merian. We were pleased with how well and how safely the transition from construction to operation is going. We're keeping our options open at Yanacocha through the potential development of Cocha main (18:47) to extend oxide production. We're also advancing our sulfide studies. We have three drill rigs operating in the Chaquicocha decline and are testing autoclave recoveries at our labs here in Denver. Finally, we're working to revise our reclamation plant for Yanacocha to update the scope, timing, cost estimates, whilst preserving optionality for future development. We'll provide an update with our fourth quarter results. Turning to Australia on slide 18, we started full potential in Australia nearly four years ago, and the program continues to yield positive results. We delivered record throughput at Boddington and KCGM during the third quarter, and I expect this performance to continue. I'll also take this opportunity to recognize the team at KCGM, who have achieved significant improvements in safety, cost and production since Newmont took a stronger leadership position at that operation last May. At Tanami, the dual decline is in use. Engineering, procurement and demolition for the mill expansion is complete, and construction of the new facility has begun. Our work to optimize the mine of Tanami continues, including adding ventilation to support future development, and we remain on track to finish the expansion by mid-2017. Finally, turning to Africa on slide 19, Akyem and Ahafo continue to deliver solid performance, achieving steady improvements in mill throughput and recoveries, and Africa remains our lowest region for injuries. Looking forward, we expect to reach a decision to fund the Ahafo Mill Expansion and Subika Underground projects in the fourth quarter. I'm pleased with our strong operating performance so far in 2016, but we still have opportunities for further improvement. And I look forward to bringing you up to speed on those improvements in future calls. With that, I'll return the call to Gary on slide 20.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Tom. Our project pipeline, which I believe is the best in the gold sector, gives us the flexibility and optionality we need to grow margins while maintaining steady production levels. This version of our pipeline shows a timeframe for delivering projects into production, all the way out to our greenfield exploration prospects on the far left. Earlier-stage projects represent additional upside to our production and cost guidance and the next cabs off the rank are the Ahafo Mill Expansion and Subika Underground mine in Ghana. Turning to slide 21. The Ahafo Mill Expansion is designed to leverage existing infrastructure to build capacity and improve costs, would also offset lower-grade ore and accelerate profitable production from stockpiles. The Subika Underground mine will produce ore grades that are three times higher than the current surface mine grades, and create a platform to explore the region's significant underground potential. As Tom mentioned, we expect to reach decisions on both projects in the fourth quarter. If approved, they would add between 225,000 ounces and 300,000 ounces of gold annually with first production in 2018, and lower Newmont's all-in sustaining costs. Ahafo is a great example of our success in extending mine life and reserves through exploration. Turning to slide 22. Our team has added 123 million ounces of gold reserves by the drill bit over the last 15 years. Exploration remains a core competency and the most cost-effective way to add high-quality ounces to our reserve base. In fact, about 60% of the gold we'll mine this year was discovered by Newmont geologists. Recent success stories include Long Canyon, where we've increased reserves and measured and indicated resources by more than 50% since we began reporting reserves in 2013; at Merian, where we've grown the base by more than 165% to about 4.5 million ounces since 2010; at Tanami, where we've expanded our base by 200% since 2003, and confirmed the potential to double it again by expanding existing deposits and developing adjacent discoveries; and finally, at Ahafo, where we've more than doubled our base since 2003. What you're not seeing here are inferred resources or inventory, which require more definition before they're considered viable. Turning to our market outlook on slide 23, low or even negative real interest rates are making gold an increasingly attractive investment and gold exchange traded fund holdings have increased by 18 million ounces or nearly 40% since the beginning of the year. In the medium term, we expect prices to rise on improved fundamentals. On the supply side, three-year average gold discoveries have dropped by more than 75% between 2007 and 2012. And mine supply is expected to decrease by about 6% from 2015 to 2020 due to aging ore bodies and slower project development. On the demand side, we expect a rising middle class in China and India to drive steady growth. Taken together, the two countries represent more than 50% of current consumer gold demand. Despite these positive signs our strategy remains the same. Turning to slide 24. We've built a solid foundation over the last three-and-a-half years and our work to improve our performance, portfolio and balance sheet continues. Though we're not relying on rising gold prices or resting on our achievements, our goal is to be the world's most profitable and responsible gold business. And you can count on us to continue raising our game by delivering world-class safety, sustainability and technical performance, continuing to optimize our operations and our portfolio, maintaining a strong balance sheet, and leveraging it to grow value, repay debt and return cash to shareholders. Thank you for your time. I'll now turn it over to the operator for questions.
Operator: Thank you, sir. We will now begin the question-and-answer session. Our first question on the queue comes from the line of Mr. Andrew Quail of Goldman Sachs. Your line is open. You may begin.
Andrew Quail - Goldman Sachs & Co.: Morning, Gary, Laurie and team. First off, Laurie, thank you very much for your help over the last few years. It's been excellent working with you, and all the best for the future and in retirement. I've a question on – my first question is on Ahafo. Obviously, we saw a jump in cash cost and, obviously, the all-in sustaining cash cost. What drove that? I know you said there's inventory or negative inventory adjustment. Can you guys just elaborate and what you expect going forward at that operation?
Mary Lauren Brlas - Newmont Mining Corp.: Sure. Thanks, Andrew. Thanks for your comments. At Ahafo, we're into a point where we're going to start to draw down on the stockpile. From a cash flow standpoint, that's a very positive because we have less tied up on the balance sheet. But those are generally going to be higher cost ounces than what we're mining today. So, you'll see a bit of a negative P&L impact on it, but we're also focused on (26:40) cash. So, it's a positive on the cash side.
Andrew Quail - Goldman Sachs & Co.: Is that something that goes on for a couple of quarters or is that like an annual thing?
Mary Lauren Brlas - Newmont Mining Corp.: I think you're going to see that going into next year; that will come through in full detail with the 2017 guidance. But as we wait for the Ahafo Mill and Subika Underground, I think you're going to see that continue for a bit.
Andrew Quail - Goldman Sachs & Co.: Great. I mean – I'm sorry, the next question is on Merian. Now, you guys obviously – you're up to commercial production. Can you guys just discuss what the upside is there sort of on a longer-term view, sort of three or five-year view on – and specially with something like how much exploration spend you guys are going to allocate to this site?
Gary J. Goldberg - Newmont Mining Corp.: I think a couple of things, Andrew. First of all, I think there's potential upside in mill throughput. As we get things ramped up, we'll have a better idea on what the actual potential of the mill is, but we see that as a potential upside. We're not building that in, in our current guidance as we look into 2017, because I'd like to give them a few months of actual experience to see before we try to build that up. But I see that as one upside. I think exploration, and as I alluded to in my comments, it's still open in all directions there. We continue to see good results. Whether it's an underground potential deposit or actually an expansion of the current open pit, the results we see could lead to just a bigger open pit there, which – with much higher grades than what the current ore body average is. And that shows up – I don't think we've got it in this slide pack. But in the last quarter slides, we had some cross sections that showed some of that drilling below the pit. So, I'm very encouraged there, and we continue to look. Sabajo is in the region. It's about 30, 35 kilometers away, and that's an additional deposit. What's good about that is it's the saprolite softer ore. So, it would be good in terms of improving and continuing the throughput characteristics at Merian. So, overall, still very pleased with the potential there. Of course, none of that's been built into our current guidance.
Andrew Quail - Goldman Sachs & Co.: Thanks, Gary.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Andrew.
Operator: Thank you, sir. The next question on queue is coming from the line of David Haughton of CIBC. Your line is open. You may begin.
David Haughton - CIBC World Markets, Inc.: Good morning, Gary and Tom, and good luck for the future, Laurie. I've got a question on Merian. So, early days, I know, but you've been mining there for a while. I was just wondering how the ore is behaving. Is it reconciling to your block model expectations? Is it going through the mill as expected? The slide that you'd shown as a backdrop there of the stockpile looked like it was really soft ore. So, I wonder if you could just talk to some of those items, please.
Gary J. Goldberg - Newmont Mining Corp.: Sure. I think in terms of reconciliation, we're probably reconciling with a bit higher tonnes than what was expected. And that's not unusual as you're at the upper parts of the ore body, on the fringes to have found that. But as we get in, grade is reconciling very close to what we expected. As you may recall, when we announced the project, I talked about the fact we did an additional roughly $25 million worth of drilling to understand that ore body. So, I'm not surprised that it's coming in, but that's coming in well. I think in terms of the ore quality, yes, and that's the nature of saprolite, it's soft. We've kind of duplicated how Rosebel handled that material in terms of using bulldozers and the backhoe to help feed into the mill, and that process is going well. I think early on here, for the first several months, as we're in that very surface part of the ore body, we encounter – actually, you're right, at the surface, where you've got roots and things from plant materials. So, some of that's come through. But I think the team's worked through a method for handling that. That's been probably the only thing they've had to manage with, that I wouldn't say was a surprise, but just it adds some complexity to the startup. But I think the startup and ramp-up's been going very well and all according to plan.
David Haughton - CIBC World Markets, Inc.: Excellent. Just switching over to Long Canyon coming on stream by year-end it looks like. I'm wondering if at this stage you could give us an idea how the CapEx is going. So, ahead of time, is it looking like it's within your budget or better?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think, at this stage, Long Canyon, we haven't updated. I'd like to get it up to the commercial production point, and then at that point, we'll update our guidance on the capital. But it's going very well.
David Haughton - CIBC World Markets, Inc.: All right. Thank you very much, Gary.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, David.
Operator: Thank you, sir. Next question on queue is coming from Andrew Kaip of BMO. Your line is open. You may begin.
Andrew Kaip - BMO Capital Markets (Canada): Hi, Gary and Laurie. Congratulations on a good quarter. David hit the, or got to, my questions first on Long Canyon and just the CapEx. I'm wondering how you're tracking in that regard.
Gary J. Goldberg - Newmont Mining Corp.: Okay. Well, I think the same as what we just told David, we're tracking – we'll give an update when we achieve first commercial production, but we're tracking very well against what we expected.
Andrew Kaip - BMO Capital Markets (Canada): Okay. Thank you very much.
Gary J. Goldberg - Newmont Mining Corp.: Thanks. Thank you.
Operator: Thank you, sir. Next question on queue is coming from the line of Tanya Jakusconek of Scotia Bank. Your line is open. You may begin.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Great. Good morning, everybody. And Laurie, congratulations on your future board work. Questions on – some technical questions, if I may. Just coming to Merian, Gary, seeing things have started off well, why then the 20,000 ounces downward revision to guidance for that asset for this year? I mean, I know I'm splitting hair, but maybe there's something with the plants or the routes that had to make adjustments. I'm just trying to understand what changed your guidance.
Gary J. Goldberg - Newmont Mining Corp.: I'm going to hand over for Tom to give an update on that one.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay. Thank you.
Tom Palmer - Newmont Mining Corp.: Thanks, Gary, and good morning, Tanya. We commissioned the facility exactly as we planned to this year. What we'd assumed in our plan which goes to those 20,000 ounces is we thought as we're building gold inventory in circuit that before we declared commercial production, we would pull off around 20,000 ounces. As it turned out, commissioning went very smoothly, but we didn't drop first ounces out of the circuit until essentially the 1st of October. So, just the way the commissioning went, that 20,000 ounces didn't present in the pre-commissioning, so we started first gold from the 1st of October. So, a slight offset as we move into the remaining part of this year, around the 100,000 ounces rather than the 120,000 ounces.
Gary J. Goldberg - Newmont Mining Corp.: It's really a matching production to sales piece...
Tanya Jakusconek - Scotia Capital, Inc. (Broker): To sales, okay.
Gary J. Goldberg - Newmont Mining Corp.: ...because of the sales timing.
Tom Palmer - Newmont Mining Corp.: Yeah. There's gold in the circuit.
Gary J. Goldberg - Newmont Mining Corp.: Yes.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Yeah. Okay. No, that's fine. I just wanted to know, because it didn't seem with everything else, your tonnage on your grade on the block models seemed to be reconciling. So, I was just trying to understand what happened. Okay. So, that's helpful. And maybe if I can continue still on the technical side, just on the geotechnical issues in Nevada, I know it's something that you mentioned for Q4, we'll see a bit weaker. What is weaker? What will we lose from these geotechnical issues?
Tom Palmer - Newmont Mining Corp.: You'll see our guidance for Carlin for production, we're dropping from, I think, a range of 1,040 ounces to 1,100 ounces down to 970 ounces to 1,030 ounces. So, that's the impact of those geotechnical issues. With the slip at Silverstar, we're monitoring that. We're right near the end of mining that pit. We understood that fault. We're monitoring that area. We'd stepped out to just add a bit of protection and then the slip slowly came down. As I said in my notes, we had people and equipment well clear of that area. So, that's the main driver of the impact on the revised production guidance for Carlin for this year. Some of those ounces will push into 2017, so we were expected to be out of that mine at the end of this year. As a result of this issue, we push into the first part of the first quarter and some of those ounces will move across into next year.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): What do you think would move across? Is it half of them or what would be a guesstimate?
Tom Palmer - Newmont Mining Corp.: I think half would be a reasonable estimate.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay. And then maybe just on Boddington, obviously, a great throughput in the quarter. Maybe just what's happening there, at that operation?
Tom Palmer - Newmont Mining Corp.: I think what you're seeing at Boddington, four years of full potential work, excellent leadership from Alex Bates and the team there at Boddington. That mill is really hitting its straps. All the work we've done over several years, that team is driving that mill to record performance. We've had record months. We've had record weeks. And it's really the fruition of a lot of hard work to improve the availability and the reliability of that facility down at Boddington.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): And you think that's sustainable?
Tom Palmer - Newmont Mining Corp.: Yes. Yeah. This is the result of a lot of a hard work, a very capable leadership team, and I fully expect that performance to continue and to look to improve.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay. Well, that's good. And maybe one for you, Gary. I know we talked about Batu Hijau, hopefully, the completion of the sale very soon. And I was writing viciously some of the things that are still left to outstanding. Can you just review again what exactly are we waiting for to just complete this? Like, what have we done and what are we waiting for? Sorry, I just missed that. Yeah.
Gary J. Goldberg - Newmont Mining Corp.: Yeah. The number of the conditions precedent have been met in terms of different approval of the buyer shareholders, for instance, the resolution of certain tax issues and government approvals. And I was over there last month with Randy. We had an opportunity to meet with the team on the ground in Batu Hijau and in Jakarta to thank them for all their work through the transition and all the work they've done, especially through some of the challenging last three years as we've had to work through the changed approach to getting export permits. Also, I had the opportunity to meet with government officials in that process as well to thank them for their support. In terms of the key outstanding item remaining is actually getting the concurrent sale or the sale of one of the partners. Basically, the Bakrie's MDB, and having that sale go through. There's elements of that we're not in control of, it's stuff that they need to work through as they go through that process as that comes to a conclusion. That's really the key main item that's left outstanding.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay. So, the rest of the other ones you've mentioned you pretty much have that in place. Obviously, the export permit you said that sometime in November it expires and you're looking to have that one renewed.
Gary J. Goldberg - Newmont Mining Corp.: That's correct. We've submitted our application there.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Okay. We look forward to closing it and getting the monies. Thank you very much.
Gary J. Goldberg - Newmont Mining Corp.: So do we. Thank you, Tanya.
Tanya Jakusconek - Scotia Capital, Inc. (Broker): Thank you.
Operator: Thank you, ma'am. The next question on queue coming from the line of Anita Soni of Credit Suisse. Your line is open. You may begin.
Anita Soni - Credit Suisse Securities (Canada), Inc: That's okay. Tanya asked this question, which was with regards to the production at Merian, so I will take it offline now. Thanks.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Anita. I know you guys have a busy day today with lots of earnings coming out.
Anita Soni - Credit Suisse Securities (Canada), Inc: Indeed. Thanks.
Operator: Okay. Thank you. The next question on the queue coming from the line of Chris Terry of Deutsche Bank. Your line is open. You may begin.
Christopher Terry - Deutsche Bank AG (Australia): Hi, guys. Yeah. Two questions from me. Just on slide 20 where you've got the project pipeline laid out. In terms of the pre-feasibility study projects in the middle, can you just give a quick rundown on the timing that we should expect for some of those projects, please?
Gary J. Goldberg - Newmont Mining Corp.: Sure. I'll run through. They all vary, as you can imagine, based on their complexity. Yanacocha sulfides at the top is about a two-year process to work that through pre-feas and on into definitive feasibility. Awonsu and Apensu Deeps are really underground extensions around Ahafo. And that's really primarily a combination of drilling and how things work. That's probably a more of the two to three years sort of a timeframe. Ahafo North is more in the three-year timeframe as we work through the next stages for that project. Tanami Expansion 2, I would see in that same sort of two- to three-year timeframe. So that – well, three – it says below three to five years at the bottom. And then, Federation, the same thing. It's really getting the expansion – Tanami Expansion 2, by the way, is a shaft, is what we're looking at for production there because the deposit extends so much at depth. So, hopefully, it gives you an idea. And that was the idea of putting the years at the bottom. Three to five is a general kind of a rule, but they all vary a little bit around there.
Christopher Terry - Deutsche Bank AG (Australia): Thanks. Thanks, Gary. I was just wondering whether we should expect any of those a bit sooner. And then, just a question to Laurie on Batu closing. I'm sorry if you've been through this before, but the $920 million gross proceeds, can you just give an update on how the amount that you'll actually receive to Newmont post closeout of any internal debt in Indonesia actually flows through to you and how that might vary depending on the exact closure date of the deal?
Mary Lauren Brlas - Newmont Mining Corp.: The debt is all paid off, so there's no debt coming. That's something that we handled already. So, that will not affect it. There are some deposits that the buyers already made. So, that has an impact on it. And then, we'll also – well, from an accounting standpoint, we'll note any cost of it. But for the most part, you're going to get most of that money just coming directly through the $875 million that was on the slide is what we expect to come through.
Christopher Terry - Deutsche Bank AG (Australia): Okay. Thanks, Laurie.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Chris.
Operator: Thank you, sir. And at this time, we have no question on queue. Now, I'll turn the call over to Mr. Gary Goldberg.
Gary J. Goldberg - Newmont Mining Corp.: Thank you, and thank you all for joining the call this morning. I know you've got lots of activity going on in the space. The Newmont team delivered another strong quarter and our work to raise our performance to the next level continues. We're also pleased to share good news, which includes appointing experienced finance leader, Nancy Buese, to the role of Executive Vice President and CFO, effective October 31; announcing higher dividends in the fourth quarter and an enhanced dividend policy for 2017, and a $500 million debt tender; delivering Merian into commercial production safely, on schedule and more than $150 million under budget. Thank you again for your time and have a safe day.
Operator: Thank you, sir. And that will conclude today's conference call. Thank you for participating. You may now disconnect.